Operator: Greetings and welcome to the PAVmed Inc. business update conference call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded. I would now like to turn the conference over to Mike Havrilla, Director of Investor Relations for PAVmed. Thank you. Please begin.
Mike Havrilla: Good afternoon everyone. This is Mike Havrilla, PAVmed's Director of Investor Relations. Thank you all for participating in today's business update conference call. Joining me today on the call are Dr. Lishan Aklog, Chairman and CEO, Dennis McGrath, President and Chief Financial Officer. Before we begin, I would like to caution that comments made during the call by management will contain forward-looking statements, regarding the operations and future results of PAVmed. I encourage you to review the company's filings with the Securities and Exchange Commission, which identify specific factors that may cause actual results or events to differ materially from those described in the forward-looking statements. Factors that may affect the company's results, include but are not limited to, the uncertainties inherent in research and development, including the cost and time required to advance products to regulatory submission, whether and when products are cleared by regulatory authorities, market acceptance of products once cleared and commercialized, the company's ability to raise additional capital and the competitive environment. PAVmed has not yet received clearance from the FDA or other regulatory bodies to market many of its products. New risks and uncertainties may arise from time to time are difficult to predict. All these factors are difficult or impossible to predict accurately. Many of them are beyond the company's control. For a further list and description of these and other important risks and uncertainties that may affect future operations see Part I, Item IA, entitled Risk Factors in PAVmed's most recent Annual Report on Form 10-K filed with the SEC, any subsequent updates filed in quarterly reports on Form 10-Q. Except as required by law, PAVmed disclaims any intention or obligation to publicly update or revise any forward-looking statement for any changes in expectations or in events, conditions or circumstances on which those expectations may be based or that may affect the likelihood that actual results will differ from those contained in the forward-looking statements. As you know, we have just submitted our press release which should be distributed shortly by our partner and this will be forthcoming. With that said, I would like turn the call over to Lishan Aklog. Dr. Aklog?
Lishan Aklog: Thank you Mike. Good afternoon everyone and thank you for joining us on this quarterly call to update you on our business and discuss our recent financial results. Those of you who have been keeping up with our press releases know that we have been extraordinary active in the months since our last update many exciting accomplishments and even more milestones to look forward during the upcoming months. Let me start first with a few words about the enormous challenges we are all facing as a result of the COVID-19 pandemic which, in just a few months, has exacted a tremendous human and economic toll on our industry, on our nation and on our world. I hope and pray that all of you are weathering this level and storm as best you can and are keeping yourself and your loved ones safe. I am deeply moved that many of you have taken the time to reach out to us to express your support and continued confidence in us as well as to express your concerns for our safety and health. Thankfully, all members of the PAVmed family, including our employees and critical partners are healthy, safe and able to continue their important work. We are very fortunate that our corporate structure and culture are well suited to address these challenges with minimal short-term and no anticipated long-term disruptions to our future plans. For example, our employees and partners are already dispersed over many states across the nation and are already proficient at productively utilizing modern remote collaboration tools which they have been doing since our inception. In addition, our team has always embraced a special forces type culture with all members able to operate autonomously when necessary and spontaneously collaborate to address short term challenges as they arise while still systematically advancing and executing on our long term future plans. Before providing you with updates on our product portfolio, I would like to give you a general summary of how each area of our business has or has not been affected by the pandemic and how we are responding for those that are affected. First, financial and administrative perspective. As we previously announced and as Dennis will explain in more detail shortly, we recently completed the November 2019 convertible note financing which strengthens our balance sheet and enables us to fund our full strategic plan for the foreseeable future as we advance through upcoming milestones. We are also confident that we will be able to continue to finance our operations as required until we begin to generate meaningful revenue through commercial sales or non-dilutive financing through M&A activities. Our executive leadership team has implemented a cash management plan focused on preserving cash in areas where activities are inevitably throttled as a result of the lockdown. Our fulltime headcount remains the same. Our employees and the unique expertise they bring to our efforts are understandably are critical resource and we do not plan to trim payroll. This makes us eligible for the paycheck protection program within the federal stimulus packet. We have already completed the application and if approved will result in proceeds of approximately $300,000 structured as a forgivable loan. On the product development and manufacturing side, we currently utilize over a dozen partners across the U.S. in the design, development, testing and manufacture of our product. All these partners are designated essential services remaining fully operational with no meaningful disruption in their activities on our behalf. Our supply chain has also remained intact and we believe it will continue to do so without any disruption. The only two components we source outside of the U.S. are a few electrical parts of our CarpX device from China, although we already have sufficient inventory of these parts to get us through initial CarpX commercialization. These manufacturers are already back online following a short COVIdD-19 disruption earlier this year. What about on the regulatory front? We, with the help of our regulatory consultant, has multiple active engagements with the USFDA, including for CarpX, PortIO, EsoGuard and EsoCheck. We also have extensive ongoing work with our regulatory consultant on other portfolio products that are not yet before the FDA. I am happy to report that none of this work has been materially impacted by COVID-19. Our regulatory consultants are fully operational using remote collaboration tools. The FDA reviewers assigned to our products are also working remotely and based on ongoing informal communication, appear to have the bandwidth to work on our updates. Some initial concerns that our science staff would be diverted to COVID-19 related work has not materialized. Most importantly, we have not received any formal or informal indication that we should expect any COVID-19 related delays in the review process. Two areas where we have had to actively manage COVID-19 related disruptions are our commercial and clinical research activity. From the commercial side, the fundamental challenge that we and essentially all medical device companies are currently facing is that the healthcare system is obviously overwhelmed by the pandemic. The system has been forced to divert resources and drastically modify operations to care for COVID-19 patients while protecting healthcare workers. Non-emergency care, including surgical and diagnostic procedures, have essentially come to a standstill. Although we can't predict when the engine will start up again, it is reasonable to assume that non-COVID-19 healthcare will be among the first things to come back online since one cannot indefinitely defer necessary but not emergency procedures. I will discuss our EsoGuard commercial activities later but I am proud to report that Shaun ONeil, our Chief Commercial Officer and his team have rapidly adapted to the situation on the ground in pretty remarkable ways. Recruitment of independent sales reps has been unaffected and their sales training has actually moved to virtual without missing a beat, so is sales calls with physicians which are also being held virtually. Many of the targeted physicians are, in fact, well positioned to participate in virtual sales calls because they are working from home or from their offices using telemedicine and are not necessarily on the frontline of the COVID-19 battle. As I mentioned, another area that we are managing is our clinical research activity. Life sciences companies face the same challenges with clinical research activities as with commercial activity and nearly all non-COVID related clinical research has come to a grinding halt nationwide, including intramural academic research trials and corporate sponsored trials by large and small companies. We have active or soon to be active clinical trials involving multiple products, including EsoGuard, EsoCheck and PortIO which are affected by this freeze. I will update these individually a bit later. Although, for the time being, patients cannot be enrolled and procedures cannot be performed, our clinical research team led by Randy Brown has done a similarly remarkable job of making sure that we continue to advance the ball where we can so that we are poised to make up for lost time when things eventually open up again. For example, for all of these studies we continue to work with IRBs on protocol approvals and medical centers on negotiating and executing clinical trial agreements. Some principal investigators continue to actually actively recruit patients. So they are ready to efficiently enroll once we are back online. Let's go through some of our recent accomplishments and the upcoming activities and milestones. Let me start by highlighting some of these. In December, our majority-owned subsidiary, Lucid Diagnostics, launched our EsoGuard Esophageal DNA Test as the first and only commercially available DNA test to facilitate the detection of Barrett's Esophagus with or without dysplasia as well as esophageal cancer. In January, we launched two multi-center clinical trials to support future regulatory clearance of EsoGuard and EsoCheck as an FDA registered in vitro diagnostic or IVD. The first patient was enrolled and underwent their procedures in February. Also in January, we held a successful pre-submission meeting with the FDA on our PortIO product focused on the design of a clinical safety study in support of a de novo application. February brought many additional Lucid accomplishments. We are excited to receive FDA breakthrough device designation for EsoGuard and EsoCheck which, in addition to validating the potential life saving impact, provide priority expedited FDA assessment and review potentially accelerated CMS coverage. We entered into sponsored clinical research agreements with few major academic centers, the Fred Hutchinson Cancer Research Center in Seattle, Washington and the University of Pennsylvania in Philadelphia, to evaluate EsoCheck in both Barrett's Esophagus progression and Eosinophilic Esophagitis. We also announced a new product, our EsoCure Esophageal Ablation Device, a disposable single-use thermal balloon ablation catheter which is designed to use our patented Caldus Technology to treat dysplastic Barrett's before it can progress to highly lethal esophageal cancer and to do so without the need for complex and expensive capital equipment. We also participated in two successful meetings with the Medicare contractor Palmetto GBA and its molecular diagnostics program MolDx, one in February focused on EsoGuard payment and another two weeks ago focused on EsoGuard coverage. In March, the FDA accepted our 510(k) resubmission for our CarpX minimally invasive carpal tunnel device incorporating data from our successful first-in-human CarpX clinical safety study. Also in March, EsoCheck was honored as a Silver winner of the 2020 Edison Awards. This month, we completed training of our first cohort of 24 highly experienced independent gastroenterology sales representatives covering a large block of the country who are now actively engaging with longtime physician partners on EsoGuard and EsoCheck. Just yesterday, despite the pandemic and a massive regulatory backlog due to systematic changes, we received a firm date in June for the stage 1 audit of our quality system by our EU notified body, which will allow it to restart its efforts to pursue EU CE Mark clearance of CarpX and PortIO. Finally, as always, we continue to expand and advance our extensive intellectual property portfolio, which now includes 129 issued and pending patents, assigned or licensed to PAVmed and its subsidiary and we continue to have good success in securing allowances and advancing prosecutions. We have many key upcoming activities and milestones for us to look forward to in the coming months. Here are a few highlights. We expect to receive a response from the FDA on our CarpX 510(k) resubmission some time during their 90-day substantive review window, which extends into June. Despite the limitations imposed by COVID-19, we will be accelerating and expanding our commercial activities for EsoGuard including virtual sales and professional education as well as aggressive marketing targeting physicians and patients to strengthen brand recognition, generate awareness of awareness of underlying conditions and support the sales process. We will continue to aggressively pursue our discussions with Palmetto GBA and other Medicare contractors and hope to secure payment and coverage decisions for EsoGuard's CPT code as soon as possible. Once the COVID-19 limitations begin to recede, we will restart both our commercial and clinical EsoGuard procedures and enrollment in our two IVD clinical trials. We will also launch four additional clinical trials involving EsoCheck and PortIO which are currently on hold. We also have several very active M&A and partnership discussions involving NextFlo, EsoGuard, EsoCheck and DisappEAR which I will describe in more detail later but which we hope to consummate in the coming months. Finally, we still hope to achieve a clinical accuracy milestone and bench-top and animal testing of our majority-owned subsidiary, Solys Diagnostics, noninvasive laser-based blood glucose diagnostic device. And now, I would like to now proceed to some more specific updates across our four divisions, GI health, minimally invasive interventions, infusion therapy and emerging innovation. Our GI health division is building a portfolio of complementary products designed to diagnose and treat conditions of the esophagus, including a spectrum of conditions arising from chronic heartburn or gastroesophageal reflux disease, leading to esophageal cancer as well as a prevalent inflammatory condition called eosinophilic esophagitis. Two products, EsoGuard and EsoCheck are commercially available. We hope to commercialize another product, EsoCure, in 2021. In addition, there are other potential pipeline products which are the subject of active research programs within this division. Now let's start with EsoGuard and EsoCheck. We continue to make excellent progress on these two groundbreaking products less than two years after licensing them from our partners at Case Western Reserve University. EsoGuard and EsoCheck are designed to facilitate early detection of conditions leading to esophageal cancer in patients with chronic heartburn. It's important to understand that these conditions lie in a spectrum. So chronic heartburn can lead to benign changes in surface cells of the lower esophagus called oesophagus which can transform into precancerous changes called dysplasia which in turn can lead to highly lethal esophageal cancer. These are truly groundbreaking products. The National Cancer Institute highlighted them with one of the year's significant advances in cancer prevention in its 2020 report to Congress. And as I mentioned, the FDA granted breakthrough device designation which validates the potential life saving impact And EsoCheck, as I mentioned, was also recently recognized as a game changing innovation and among the best new medical device product of the year by The Edison Awards honoring Thomas Edison. So briefly, how do they work? EsoCheck is an FDA cleared cell collection device which can perform targeted and protected sampling of cells from the lining of the lower esophagus as part of a five-minute noninvasive office space procedure. It serves as an alternative to invasive upper endoscopy performed under anesthesia in a hospital or dedicated endoscopy center. EsoGuard is a highly accurate next generation sequencing diagnostic assay which detects methylation changes at 31 sites on two genes which occur in patients along with Barrett's Esophagus through esophageal cancer spectrum. EsoGuard is performed on samples collected with EsoCheck and is commercially available in the United States as a laboratory developed test or LDT. Although professional practice guidelines recommend screening in over 10 million high-risk GERD patients to detect and treat Barrett's before it progresses to cancer, fewer than 10% actually undergo screening using invasive upper endoscopy. The tragedy of these conditions is that the vast majority of patients diagnosed with esophageal cancer are not aware that they have underlying Barrett's and that the progression to cancer could have been prevented through careful monitoring and treatment if the Barrett's had been diagnosed earlier. Sadly, over 80% of these esophageal cancer patients will die within five yeas of diagnosis. Based on very modest penetration of U.S. GERD patients currently recommended for Barrett's screening according to published guidelines and on a Deloitte market assessment we commissioned, we believe that the estimated addressable domestic market opportunity for these products is several billion dollars. The most important update for these products is on the commercial front. We are commercializing EsoGuard using a hybrid model with internal sales management, marketing and professional education working closely with independent sales representatives across the country. In addition to Shaun ONeil, our Chief Commercial Officer, we have hired two outstanding regional sales managers covering the Eastern and Western U.S. and a fantastic director of marketing and communications. As I previously mentioned, last week we completed training of the first cohort. These 20 highly experienced sales reps that cover most of the country, they are all senior professionals, averaging at least a dozen years in the field calling on physicians on behalf of well-established leading companies in the space. Most bring deep, long-standing relationships with gastroenterologists in their territories. They currently had access to their physicians through virtual sales calls despite the lockdown and we are confident they will be first in line once things open up. Several accounts that completed training had product on their shelf, has performed procedures on patients before the shutdown of non-emergency procedures. Since then, our sales teams have been in discussions with well over 100 accounts who will be in an excellent position to begin performing procedures once things open up. As I mentioned earlier, we have initiated an aggressive marketing campaign with professional journals and social media, targeting physicians and patients to strengthen EsoGuard and EsoCheck brand recognition. The engagements with these activities has been excellent and the feedback have been very positive. We are also making solid progress on the reimbursement and coverage front. As I have previously mentioned, EsoGuard received a CPT code last year. We successfully advanced it through the CMS process. We were granted a gap-fill designation which permits us to proceed with payment and coverage discussions with the designated Medicare contractors and private payors. As I mentioned, we had two successful meetings with Palmetto GBA and MolDx who are working with our consultants to finalize a detailed dossier in support of our payment and coverage request and look forward to further discussions culminating in a successful outcome. We have many additional exciting developments and future activities in this division. As I mentioned, we are excited by the progress we are making on the EsoCure Ablation Device. This, as I mentioned, is a disposable single-use thermal balloon ablation catheter designed to advance through the working channel of a standard endoscope and uses our patented Caldus Technology to ablate the esophageal tissue. Once cleared and commercialized, EsoCure will allow physicians to treat dysplastic Barrett's before it could progress to cancer and do so without the need for complex and expensive capital equipment like the current technologies from Medtronic and others do. We expect to complete development and FDA 510(k) submission for EsoCure by early 2021 and hope to have it commercialized later in that year. As previously noted, we have launched these two international multi-center clinical trials, ESOGUARD-BE-1 and BE-2 to support future PMA submission for FDA registration of EsoGuard and EsoCheck as IVDs. One of the studies is a screening study of high-risk GERD patients and the other is a case control study of patients with known Barrett's or a more advanced condition. We have over 60 sites in the U.S. and Europe. Clinical trial enrollment has paused after the first patient was enrolled and underwent procedures last month. We have a couple of patients scheduled for later this month but do not expect to be in full swing until clinical activity has resumed in the coming weeks and months across the country and in Europe. Meanwhile, our clinical research team is continuing to secure IRB approvals and contract so we can make up for lost time as things open up. As I mentioned, we have two other additional EsoCheck clinical trials on hold, the Fred Hutchinson and the one with the University of Pennsylvania and they are both, we look forward to advancing those as things open up. Finally, we have two active partnership discussions involving GI health products. We have a strong interest to have an established diagnostic company outside the U.S. to perform and market EsoGuard in that region. We also have been offered the opportunity to license highly accurate eosinophilic esophagitis biomarkers from a major academic medical center for commercialization as an LDT. I expect this license agreement to be consummated soon. Let's move on to minimally invasive interventions and our CarpX product. CarpX is our patented single-use disposable minimally invasive device designed to treat carpal tunnel syndrome while reducing recovery time. The balloon catheter device is inserted under the scarred ligament, tensioning it while pushing the nerve and tendons away. When activated, bipolar radiofrequency electrodes precisely cut the ligament from the inside out in a matter of seconds. We believe CarpX will dramatically reduce recovery times compared to traditional surgery targeting an estimated $1 billion immediately addressable domestic market opportunity. We are seeking FDA 510(k) clearance to commercially market CarpX for minimally invasive carpal tunnel release. The FDA recommended a clinical safety study to support 510(k) resubmission and we consulted closely with them during the development of the study protocol. As we have previously announced, the clinical safety study was successfully completed an incorporated into a 510(k) submission, which is currently under FDA review. Briefly, 20 carpal tunnel syndrome patients in New Zealand underwent successful CarpX minimally invasive carpal tunnel release. All patients met the study's prespecified effectiveness endpoint which was clinical device technical success defined as the endoscopic confirmation of complete division of the transverse carpal ligament. CarpX consistently cut the ligament cleanly and precisely, without evidence of thermal spread beyond the target tissue cut line. Procedure times fell after a short learning curve, indicating that the procedure could be performed in the same or less time as traditional open surgery. Two week and 90-day postoperative follow-up rates were 100% and 95%, respectively, exceeding the target 80% rate recommended by the FDA. The only loss to follow-up was a patient who was documented to be back to normal resolution of symptoms at six weeks. He opted not to return to the study site for his 90-day follow-up visit because he was traveling a significant distance away and was overall satisfied with the procedure's outcome. All patients who have completed the follow-up met the study's prespecified primary safety endpoint, which was defined as device safety with no serious device-related adverse events. Patients underwent additional prespecified outcome assessments at baseline and during postoperative follow-up visits. In these assessment, we used well-established, standardized and validated measures to assess patient benefaction as well as changes in symptoms, motor and sensory function and neurophysiological parameters following the procedure. The excellent results of these prespecified outcome assessments following CarpX were similar to or better than expected results from traditional open surgery. Since the FDA accepted our 510(k) resubmission application, we received some informal communications with them and look forward to their formal response this quarter during the 90-day substantive review window which expands into June. Now, next some brief highlights from our infusion therapy division which includes PortIO and NextFlo. PortIO is our implantable intraosseous vascular access device which allows direct access to the bone marrow to deliver medication fluid and other substances. We are seeking an initial short-term implant duration indication through the FDA's de novo pathway. In January, we participated in a successful pre-submission meeting with the FDA focused on the clinical protocol for a small single-center clinical safety study in New Zealand and on the target population in our proposed label. In a short term clinical safety study as well as a long term study we had planned to perform in Colombia, South America are both on hold due to travel and clinical limitations. We are continuing with the necessary administrative work so we can proceed immediately to training and enrollment once things open up and we are also exploring whether it might be advantageous to move the clinical safety study to the U.S. as an IDE study. Our NextFlo infusion system, just a brief comment about that. This system delivers highly accurate gravity-driven infusions independent of the height of the IV bag and seeks to eliminate the need for complex and expensive electronic infusion pumps for most of the estimated million infusions delivered in the United States each day. We are successfully advancing the NextFlo infusion sets through design, control, development and testing with the goal of a 510(K) submission later this year. An exciting development that arose from M&A discussions with key strategic in the space has been an expansion on the application using NextFlo as type o technology. These are applications that we had always contemplated and are now pursuing at the request of these strategics. These applications include disposable infusion pumps for home use, package drug infusions, military and trauma applications and intravenous nutrition. Our M&A discussions remain active with several large companies in the space and we look forward to consummating a deal as soon as possible. I wish I had more time to update you on exciting projects we are working on in our emerging innovations division, again a few brief highlights. Our DisappEAR resorbable pediatric tubes which are manufactured from aqueous silk and seeks to revolutionize the care of the estimated one million children who undergo bilateral ear tube replacements each year. We are very close to securing a commercial development and manufacturing relationship with a large multinational company which has developed expertise and processing tool for commercial use. Their technique allows the ear tubes to be injection molded instead of machined which greatly enhances the commercial potential of this product. And as I briefly mentioned, in our subsidiary, Solys Diagnostics, the research and development plan for our noninvasive laser-based blood glucose monitoring technology is progressing very well and we expect to complete bench-top and animal testing in the coming weeks. Our emerging innovations team is also working on several exciting products, including products in the ECMO cardiopulmonary support and ventilation areas. Both of theses areas are highly relevant for treatment of COVID-19 patients and other respiratory conditions. I will now pass the mic on to Dennis for a review of our financial results.
Dennis McGrath: Thanks Lishan and good afternoon everyone. I will brief as our financial results for the quarter and year ended December 31, 2019 were reported in our press release that was published just prior to the beginning of this call. Our Annual Report on Form 10-K will be available at sec.gov and our website early next week. The complexities involved with accounting for the non-cash charges related to our fourth quarter convertible debt financing coupled with lawyers, auditors, consultants and staff working remotely made the extension unavoidable. You will recall that even as late as just last week, we completed the second half of November 2019 financing, which Lishan spoke to which also impacted the related registration statement that was filed in December and amended on March 30. The elongated registration process was impacted in part by the SEC's availability challenges as they were working at home as well. Nonetheless, the financial results I will be providing today are consistent with the preliminary results reported on March 30, as available to you and reported on Form 12b-25 extension filed at that time. So with regard to the financial results, research and development expenses for the fourth quarter of 2019 were $2.3 million, up from about $1.4 million for the same period in 2018 and about $700,000 higher sequentially. The year-over-year increase reflects incremental hiring, Chief Medical Officer, Chief Operating Officer and engineer at PAVmed as well as the clinical trial related expenses, many of which Lishan just went through for CarpX and particularly EsoGuard as the early set up cost for the IVD clinical trial began in earnest in the fourth quarter. General and administrative expenses were $2.3 million for the fourth quarter 2019, compared with $1.9 million for the same period in 2018 and were higher by about $600,000 sequentially. The sequential increase reflects the financing transaction costs in the fourth quarter related to the November convertible debt financing. The year-over-year increase reflects an increase in compensation-related costs, particularly stock-based compensation, increased IP legal costs and an increase in investor relations activity. PAVmed reported a net loss attributable to common stockholders of $6.3 million or a loss of $0.19 per common share. However, our press release provides substantially more detail related to the non-cash charges occurring in the current and prior periods. Also, the press release provides a table entitled non-GAAP measures, which highlight these amounts along with interest expense and other non-cash charges like depreciation, stock-based compensation, the financing related costs. It should enable you to have a better understanding of the company's financial performance. You will notice from the table that after adjusting the GAAP loss by these charges, the company reported non-GAAP adjusted loss for the three months ended December 31 of $3.9 million or about $0.12 per common share. PAVmed had cash of $6.2 million as of December 31, 2019. Subsequent to the year-end and just last week, the company received net proceeds of approximately $6 million from the prepayment of the investor notes received in the November private placement transaction with two institutional investors. You will recall, the company entered into a Series B senior secured convertible note with each of the Series A investors that gave us this option for an additional $6 million. That funding last week was in connection with these previously announced Series B investor notes. Our cash balance at March 31 is approximately $8.5 million and we are very confident that we will continue to have access to additional funding to finance our ongoing operations as needed which Lishan has alluded to earlier in the prepared remarks. Furthermore, as of January 2020, we had cumulatively paid down approximately $7.7 million of the previous December 2018 senior convertible debt, which had an initial balance of just under $8 million at the outset and leaves a remaining balance of $50,000. So with that, operator, we could open it up to additional questions from our audience.
Operator: [Operator Instructions]. Our first question comes from the line of Anthony Vendetti of the Maxim Group. Please proceed with your question.
Dennis McGrath: Good afternoon Anthony.
Lishan Aklog: Hi Anthony.
Anthony Vendetti: Good afternoon Dennis. Good afternoon. Lishan. Thanks so much for doing the call and also for going over the COVID-19 impact across all facets of your business. It seems like most of, well, all of your business has continued to operate and you have been operating and they have had experience operating remotely. So that side of the business seems fine. It's the commercial side that is going to delay some of the trials and so forth. But that's to be expected. I was wondering if you could just talk a little bit more about CarpX. Obviously, this is a resubmission. So you have had a lot of conversation, many conversations with the FDA over this time period. If it wasn't for the COVID-19 situation, do you believe they would have needed the full 90 days? And with the current situation, is it hard to gauge whether you think they will take the full 90 days to review? Or based on your conversations with them, where are they at in terms of the review process?
Lishan Aklog: Sure. That's a great questions. And obviously, we have to be careful about predicting anything. But I can provide some insights that you alluded to. One of them is that we have been involved with the FDA on this product. This is a resubmission, as you know. And what I didn't mention is that we have the same lead examiner who was very supportive of our application at the beginning. So we were fortunate to have that. That's not guaranteed, as you may know. So yes, so the people who worked with us on developing the preclinical testing and documenting the lack of thermal spread and the thermal safety, the preclinical setting in animals and cadavers, the same people who worked with us to develop the protocol for the clinical study are now reviewing this. As I mentioned, we don't really have any sense that they are being affected by the pandemic. They have acknowledged receipt. They have quickly proceeded with the acceptance of custom [indiscernible]. As I mentioned, we have had some informal communication that indicates that they are deep into the weeds of the application. So we have had no indication that there is a slow down and we have always been hopeful that now because it's the same group, that because this is a resubmission that there would be an opportunity for things to move quickly. But there is no way we can really predict that. I mean, the counter argument to that is that we are submitting a clinical trial, even though it's small and there is 20 patients, there would be substantial amount of data and information that they have to go through. So I wouldn't want to presume that that things will move more quickly than normal. But I can say that I don't we are slowed down by COVID. We are very fortunate that we have the same group reviewing it and we have had some informal communications that indicates that they are well into their -- that they are deep into the review the application.
Anthony Vendetti: That's very helpful Lishan. And if you could just give a little bit more color on EsoGuard in terms of feedback from KOLs during your initial commercial launch here? How is that going?
Lishan Aklog: Yes. Sure. It's been asked, this is going to sound cheerleader-ish a little bit but it's been absolutely remarkable. I mean, the feedback has been excellent. We have really followed people on the ground. Our Eastern sales managers is a long time veteran of the GI space and the people who are, the independent reps who are already on the phone and on e-mail contacted the doctors are having these conversations. And these conversations are going very well. We have them well-trained with objection handling to handle all the various paths that these conversations can take about how it relates to their existing endoscopy business and so forth. And the feedback we are getting and I receive a lot of these, is that people ultimately got it. They understand that there is an opportunity here to enlarge the funnel and to bring more patients that are not in this group of sort of 90% of the patients who should be getting screened who are not getting screened is a way to expand the funnel and to ultimately both benefit patients and benefits their practices. So some of the larger practices already have a subset of their physicians who run esophageal clinic, they run motility and GH clinic. And any concern we had about sort of where this would fit in within their practices is really not material. The feedback has been, yes, let's get started and let's get rolling and get these patients in into these clinics. So I really can honestly say that the feedback has been extremely positive and once they are actually able to do procedures, we expect the uptake to be pretty quick and substantial.
Anthony Vendetti: Good. And so just obviously a commercial launch is going to be stalled by COVID-19. Do you think there will be some pent up demand as you are having these conversations?
Lishan Aklog: Yes. Definitely, yes. It started right. But yes, exactly, that's one point I was trying to get across which is that, there is still a lot of activity and because of the existing relationships of these reps, they are able to pick up the phone and talk to their long-time physician colleagues about this technology and begin that process. So all of that activity has really been somewhat affected but has been proceeding pretty aggressively. The only thing we can't do are actually procedures, right. And so I think the way you described it, is exactly right, that there will be pent up demand and that will make up somewhat for lost time because of the activities that are currently ongoing.
Anthony Vendetti: Okay. Great. That's great color. I will hop back in the queue. Thanks so much. I appreciate it.
Lishan Aklog: Yes. Thanks Anthony.
Operator: [Operator Instructions]. Our next question comes from Hafiz Ahmad [ph]. Please proceed with your question.
Unidentified Analyst: Hi. Good afternoon guys. How are you guys doing?
Lishan Aklog: Great. How are you?
Unidentified Analyst: Doing very well. Just one quick follow-up on Lucid and since you guys have all the stuff lined up. Would there be any chance, you don't have to go into the details if there is something that's confidential, obviously, but any chance that you guys are thinking off running Lucid as a separate entity? Has there been any plans or anything? We just want to, obviously, many of the guys that I am working with, they would like to know and are really interested, if there's anything you can say that, that is obviously safe and secure to say?
Lishan Aklog: Dennis?
Dennis McGrath: That's a great question and is one that is a frequent inquiry made of us. And so, I am not going to answer your question very specifically because it is a strategic plan that the Board will mull over continuously. I am going to give more a broad answer. Our plans this year include a bunch of activities that Lishan thoroughly went through that will modulate our burn rate from where it is now and where the clinical trials once they ramp up and there are many access points for us to finance that business. We can finance as we have at the parent level. We can finance with debt. We have been creative with that which we would evolve to a level of sophistication that the early days of PAVmed's maturity had different types of financing structures. One, as you suggest, is a financing inside the subsidiary in whatever form that takes, private or public financing, it's a tool, proceeds from any M&A transaction on one of our assets and revenues for the second half. So your question, although I can't specifically answer because no firm decision has been made about that, the ability to finance inside a subsidiary and treat that as its own separate entity. Right now, we look at this as a single segment with four divisions. But what you are suggesting is something that could be available to us in the future and as it continues to evolve, we will be opportunistic and take action in the best interest of shareholders.
Unidentified Analyst: Got it, Dennis. Thank you so much. I did get my answer. I really appreciate all you guys. I am going to hang back and let someone else get in. Thank you so much again for everything. Thank you.
Dennis McGrath: Thank you.
Lishan Aklog: You are welcome.
Operator: Our next question comes from the line of Robert [indiscernible]. Please proceed with your question.
Lishan Aklog: Robert, good afternoon.
Dennis McGrath: Hello.
Unidentified Analyst: Thank you. Thanks for taking my question. It's in regards to, I believe there is a provision in the latest round of convertible note that speaks about a requirement of a sale of an asset by the end of June to provide a source of non-dilutive financing. Is that something that we expect to still come to fruition? Is that of a provision that could be renegotiated if an acceptable terms for sale of an asset, but don't present themselves? Just could you provide as much context as you can around that?
Dennis McGrath: Yes. Sure thing. Let me expand your comment just a bit to add context. When we completed or engaged in the November financing, you will recall there were two pieces of that puzzle, the Series A financing notes that we got received $7 million and the Series B that was an additional $7 million of debt, $6.3 million of net proceeds available option to us that had a prerequisite condition to be achieved. One of them is what you just outlined that a non-dilutive financing at a certain level would occur before a certain date and that condition was waived, as indicated, by the financing last week. Investors are delighted with the progress of the company, the continued involvement of our value that he waived that condition. Now that's not an indication that we have lost sight of that. As Lishan indicated in his remarks, we are actively engaged in M&A related activities including on NextFlo with multiple parties. So although we are not prepared to speak specifically to that at this point, rest assured there are ongoing discussions related to that. So hopefully that answers your question.
Unidentified Analyst: It does. That was helpful. And in terms of Nextflo, as we are talking with multiple parties and I would imagine engaging their interest. In the background, are we also progressing toward FDA clearance for that device where presumably the value of that would go up substantially?
Lishan Aklog: Yes. Sorry, I wasn't clear on that. I did to mention that in my comments. So the answer is, yes. The best way to understand that is to think of Nextflo as a platform technology, as I mentioned with multiple applications. So the application we had always focused on and the one that was the center of most of our commentary was this infusion set to replace electronic infusion pumps. And that product is in fact as you asked advancing through our design control development process and we are looking to have submission to the FDA before the end of the year. So that is moving along and we are definitely keeping the parties that we are talking to informed about. What's interesting is that they have come back to us and expressed interest in these other applications beyond the infusion set we have been using for. And because of their inquiry around this that we have started to pursue these other applications for disposal infusion pumps, particularly that and the pre-filled drug infusions. And that's actually enhanced our ability to have these conversations. So the way this ultimately could evolve would be that we enter into agreements that start with one particular application with milestones or timeline that extend for other applications and even in theory have multiple transactions with different parties we are licensing or they are acquiring the technology for certain applications. Does that make sense? But yes, the simple answer is, we absolutely are moving the product along, both because we would like to eventually commercialized them, but also as you said because it does in fact enhance the product.
Unidentified Analyst: Thank you.
Operator: [Operator Instructions]. Our next questions come from the line of John Levin of Levin Capital. Please proceed with your question.
Lishan Aklog: Hi John.
John Levin: Hi Lishan, Dennis. Congratulations on all you are doing. It's really terrific. The presentation was wonderful. I ask regarding EsoCheck. I am outside, it's hard to hear me. So forgive me.
Lishan Aklog: I can hear you fine.
John Levin: Why am I not able to tell -- what?
Lishan Aklog: We can hear you fine, John.
John Levin: Okay. Why are you able to sell of it yet? I understand COVID is an impediment. So is there some technical reason? You may have said it and I missed it. What is the impediment to getting actual sale?
Lishan Aklog: Yes, The impediment is simply that there are no procedures being performed. So for us to effectively sell EsoGuard and EsoCheck, the physician has to perform a procedure, get a sample, send a sample to our laboratory for performance and then for billing, right. So because there are no non-emergency procedures being performed, there is no sort of stocking inventory right now. It's just that we have to wait for procedures to come up with. So we are building up demand. There's no doubt about that. And once thing open up, we will able to sell them.
John Levin: Yes. Perfect. I understand. I would have assumed for the most vulnerable or the most favorite patients, they would have said, Oh, sneak into our office and we will get one done to you. But I guess --
Lishan Aklog: Yes, There really is none of that right now. I mean, we have actually had some creative conversations about them, informing them with equipment as cars passed by and so forth. But for practical purposes, it has to wait for them to come back. But they will come back sooner than you might think because you can't wait forever.
John Levin: Yes. I was just trying to make sure there was no regulatory or procedural or some kind of impediment --
Lishan Aklog: No. Not at all. We were off to the races and then things came to a halt, yes.
John Levin: Well, let me follow that up, if I may, with when you are off to the races.
Lishan Aklog: Sure.
John Levin: What percentage of the patients -- when you are at the races, how many horses ran and what was the result with the horses that ran?
Lishan Aklog: Yes. We were just getting started. So we only had a handful of patients at two sites before things shut down. And those cases went fine. Those physicians and their staff were trained. They were able to perform the procedure. The samples were sent. So everything was successful in that regard. But it was only a handful before the elective procedures started to end. But as I mentioned, we are in contact with well over 100, maybe close to 200 accounts right now as we speak. So those conversations, they are priming and gearing up to go once things open up.
John Levin: Right. Good. Thank you.
Lishan Aklog: Thanks John.
Operator: We have reached the end of the question-and-answer session. I will now turn the call back to management for any closing remarks.
Lishan Aklog: Thank you all for joining this afternoon and for your questions. We look forward to keeping you apprised of our progress via our news releases and periodic conference calls such as this one. We encourage you to continue to stay in contact which many of you have with Mike directly with any questions at jmh@pavmed.com. Thank you for joining us today. You have a great day. Stay safe.
Operator: That concludes today's conference. You may disconnect your lines at this time. Thank you for your participation and have a great evening.